Operator: Good day, everyone, and welcome to the Blackstone Mortgage Trust Third Quarter 2022 Investor Call hosted by Weston Tucker, Head of Investor Relations. My name is Ben, and I'm your event manager. During the presentation, your lines will remain on listen-only. [Operator Instructions] I'd like to advise all parties that this conference is being recorded for replay purposes. And now, I would like to hand it over to your host. Weston, the call is yours.
Weston Tucker: Great. Thanks, Ben, and good morning and welcome to Blackstone Mortgage Trust's third quarter conference call. I'm joined today by Mike Nash, Executive Chairman; Katie Keenan, Chief Executive Officer; Austin Pena, Executive Vice President, Investment; Anthony Marone, Chief Financial Officer; and Tim Hayes, Shareholder Relations. This morning, we filed our 10-Q and issued a press release with a presentation of our results, which are available on our website and have been filed with the SEC. I'd like to remind everyone that today's call may include forward-looking statements which are uncertain and outside of the company's control. Actual results may differ materially. For a discussion of some of the risks that could affect results, please see the Risk Factors section of our most recent 10-K. We do not undertake any duty to update forward-looking statements. We will also refer to certain non-GAAP measures on the call. And for reconciliations, you should refer to the press release and our 10-Q. This audio cast is copyrighted material of Blackstone Mortgage Trust and may not be duplicated without our consent. So for the third quarter, we reported GAAP net income per share of $0.60, while distributable earnings were $0.71 per share. A few weeks ago, we paid a dividend of $0.62 per share with respect to the third quarter. If you have any questions following today's call, please let Tim or me know. And with that, I'll now turn things over to Katie.
Katie Keenan: Thanks, Weston. The capital markets today reflects significantly heightened uncertainty around global economic conditions. But on the ground, BXMT's fundamental performance this quarter once again underscored the stability, resilience and earnings power of our business. We have always run this company according to our core principles; low leverage, strong borrowers and high-quality real estate, backed by a conservatively structured match-funded balance sheet. The importance of these principles is most apparent in environments like the one we face today. So most institutional real estate owners expected higher rates to come, the speed and slope of the rate hikes have been more aggressive than anticipated. But given the key tenets with which we originated our loans, they are well positioned to withstand the impact of higher rates. At the same time, the growing earnings power across our entire portfolio provides a powerful ballast amid an evolving credit backdrop. This quarter, we generated $0.71 of distributable earnings, up an impressive 13% year-over-year. Our retained earnings grew book value, even as we increased our reserves. And we drove these robust results while maintaining $1.7 billion of liquidity, more than double our March 2020 level. We entered the fourth quarter strategically positioned to play offense in a highly opportunistic investment environment, while continuing to generate attractive durable income for our shareholders. The current market reflects a lack of visibility on the pace of interest rate hikes and where they will sell long term. As a result, asset prices are volatile, impacting liquidity and restraining investment activity. And while the public markets are more reactive to this day-to-day uncertainty, what matters for real estate over time is fundamental performance. High-quality real estate that can capture rent growth is resilient in inflationary environments, as replacement cost rises and cash flows outpace higher OpEx and rates. There's nearly $400 billion of institutional real estate capital sitting on the sidelines. And while it will take time, as the rate picture crystallizes, liquidity will flow back to hard assets that generate attractive yields. If long-term rates settle out in the range of their current levels, some asset values will need to reset. But unlike the GFC, there is neither overleveraged nor overbuilding weighing on the system. And most reasonably levered capital structures will be able to absorb a reset in rates with impact to the equity returns, but still a positive outcome for the debt. This quarter, we saw once again that the BXMT portfolio is weathering the capital market storm, a result of the low basis at which we start our senior loans, our credit selection process, our rigorous loan structuring and our sponsorship. We continue to see that the value-add business plans we lend against can capture increasing rents in an inflationary environment, which should support asset values and credit performance over time. Moreover, 96% of the loans in our portfolio have rate caps, which insulate borrowers from further rate increases or other structural enhancements, including carry guarantees or substantial interest reserves. The result is our continued 100% interest collection, despite a 300 basis point increase in since the beginning of the year. While our positive experience to date is an important indicator, as a lender, we naturally consider many scenarios, including the potential for conditions to further deteriorate. In this respect, we look to the position and incentives of our borrowers. With an average loan LTV of 64% at origination, our sponsors have 36 points of equity to protect as a starting point. Even in a materially higher rate scenario, the incremental carry costs borne by borrowers represent a small fraction of the overall deal capitalization, just one to two points of additional equity a year, well within our sponsor's capabilities and justified for assets with value to protect over the long term. This commitment is reflected in the behavior we saw in the pandemic when our sponsors injected over $0.5 billion of additional cash to carry their assets, and we see analogous behavior today with our sponsors having invested $275 million of incremental cash equity so far this year. Turning to the office sector. While the office segment faces secular headwinds, it is further impacted today by regulatory pressure at banks and a broad brush approach typical in periods of economic pullback. There are many older vintage commodity office buildings that will suffer. But there is also a significant segment of the institutional market, where high-quality office is seeing continued tenant demand in pet growth. For example, this quarter saw New York City's strongest leasing activity since COVID, up 28% year-over-year and roughly 10% above third quarter '19 and the five-year pre-COVID average. And that leasing activity is concentrated in Class A building, which despite being only one-third of New York City's stock captured 74% of leasing in the third quarter. In most of our office portfolio, we see stable occupancy, ongoing sponsor commitment and particularly notable in today's environment, continued repayments with $349 million in office loans repaying over the last three months, including a vacant New York City office slated for renovation, which just occurred post quarter end. Our office portfolio is 92% Class A, 100% performing and generally characterized by high-quality, well-amenitized buildings that are outperforming in today's leasing environment. A one-third of our collateral is brand-new construction, including the new build headquarters of Pfizer and Warner Bros. And across our portfolio, we have assets recently leased to major law firms and creative users, private equity finance and tax. We lend to highly experienced, well-capitalized sponsors like Fish Inspire [ph], Oaktree [ph] related and JPMorgan. And this year, our borrowers have contributed over $150 million of new incremental equity to our office deals alone, indicative of the value they have to protect and their continued commitment to the asset. While we believe the vast majority of our office portfolio is well-positioned for the post-COVID environment, we downgraded four office loans for us this quarter. These loans, which represent just 3% of our portfolio, continue to perform, pay interest and in most cases, show positive leasing and material recent sponsor cash commitments. But having evaluated each asset in our portfolio in detail, we felt downgrades were warranted in these specific cases, denoting a heightened risk of underperformance. We remain focused on actively managing these loans as well as our broader office portfolio in this more liquid environment. Importantly, the overall performance of our collateral assets across the portfolio continues to show strength. We also had credit upgrades this quarter as assets ramped up and stabilized with higher rates and less overall transaction activity in the market, assets that have completed their business plans are staying in our portfolio longer as patient sponsors opt to hold rather than sell into the current conditions. We are also keeping a close eye on Europe and the UK in light of rising inflation, elevated energy costs and increasing economic uncertainty. Our underwriting process is consistent across borders. Just as in the US, we have been highly selective about sponsorship, real estate quality and credit in our European lending practices. Our collateral is concentrated in high conviction sectors, and in many cases, the LTVs on these loans are lower relative to similar US transactions. And just as in the US, we have seen strong consistent credit performance in our Europe book. Notwithstanding, the macro challenges, the dislocation in Europe today is presenting appealing investment opportunities. This quarter, our primary origination activities were in cross diversified pools of European industrial where vacancy is 1.5% and the rent growth is nearly 20%. Our overall originations this quarter averaged 58% LTV and an all-in yield of 5.41% over base rates, a high single-digit all-in unlevered return. With the securitization market frozen and banks seeking to reduce their balance sheet exposure, we expect a target rich environment in the US as well. While regular way transaction flow is more limited given the disconnect between buyers and sellers on valuation. We are starting to see both recapitalizations at reserve basis and secondary loan purchase opportunities where we can partner with motivated counterparties to provide liquidity at compelling risk adjusted returns. Going forward, we expect an increasingly attractive investment environment, and we are fortunate to have ample dry powder to address it. Turning to the balance sheet. Our liquidity risk management approach and diversification put us on solid footing to address this more volatile but opportunistic environment. Our robust liquidity position today is by design. The result of our actions early in 2022 when seeing hands of dislocation in other corners of the market, we opted to fortify our capital base and slow regular way originations to best position ourselves for what we saw ahead. And from the outset of our business, we have run a matched balance sheet, insulating our performance from term, currency and interest rate risk. We have diversified sources of corporate and asset level capital, a material advantage in an environment where much of the market is sidelined. As a premier investor and one of the largest owners of real estate in the world, Blackstone is a trusted partner for banks. Our track record as a borrower affords us best-in-class terms throughout our business and helped us to secure lending capital as banks consolidate business to their top clients, including a new £1 billion credit facility just this quarter. Looking ahead, much depends on the management of the delicate balance between inflation and recession. But our navigation of this turbulent market is deeply informed by the unparalleled investment experience and knowledge base of the Blackstone platform, which has a long history of performing for investors through cycles. The S&P's track record, including the last period of severe dislocation in 2020 through today, evidences the results of our positioning. Stable asset and liability performance and highly attractive earnings growth that is rare in today's market. With a floating rate portfolio, our income is still growing. Third quarter average SOFR was 2.45%, and it is already 120 basis points higher at 3.65% today. For our asset-sensitive portfolio, each incremental 100 basis point increase in rates results in $0.06 of increased earnings quarterly, all else equal. This powerful earnings dynamic creates meaningful resilience for our business in two ways. First, building book value, which helps insulate against increasing reserves or potential credit issues and second, ensuring our dividend remains well covered in a wide range of scenarios. Together, these elements strongly support our ability to deliver a reliable overall return to our shareholders even if credit conditions weaken. Today, BXMT is trading at roughly 88% of book value, 8.5 times P/E, and a 10.3% dividend yield. Metrics that we do not believe reflect the resilience of our business model and earnings stream, our long-term credit track record, or the clear differentiation of the Blackstone real estate platform. Our current dividend yield is 620 basis points above the 10-year, well wide of our pre-COVID average, despite our company now having growing earnings, significantly stronger dividend coverage, a high integrity balance sheet with more than double the liquidity, and a performing portfolio that has been reoriented to stand up to today's inflationary pressures. Less than 10% of US stocks today offer yields above the 10-year treasury rate and we are paying a dividend yield that is more than two and a half times that level. We've paid that dividend for 29 consecutive quarters and we're covering at over 115% today. In a volatile market, current income is key and BXMT is delivering. With that, I'll turn it over to Tony.
Anthony Marone: Thank you, Katie, and good morning, everyone. This quarter's results show case positive impact of rising rates on BXMT's floating rate loan portfolio with another consecutive quarter of meaningful earnings growth, supported by the stability in our book value, portfolio metrics, and capitalization. We reported GAAP net income of $0.60 per share and distributable earnings of $0.71, which is up $0.04 from 2Q and $0.09 or 15% from 1Q levels. This reflects the positive impact of rising base rates on our 99% performing loan portfolio continuing to flow through to our bottom-line net income. As central banks continue to battle inflation, the market continues to further -- to forecast further increases in base rates, which will similarly provide a tailwind to BXMT's earnings. Comparing to 3Q levels, an incremental 100 basis point increase in base rates, we generate $0.06 of quarterly earnings per share net of incentive fees, assuming all else equal. Similar to 2Q, our earnings this quarter had no meaningful prepayment income as overall market transaction volume has been muted and we collected $443 million of repayments across our portfolio. This compares to $697 million of loan funding, leading to a consistent overall portfolio size of $26 billion and therefore, stability in our capital deployed and net interest income generation. As Katie noted, our portfolio of credit remains strong with no new impairments or non-accrual loans and a net $937 million of loans upgraded with 10 risk rating upgrades this quarter outpacing five downgrades. Overall, our total portfolio is currently 89% risk rated one, two or three, which reflects the overall strength and stability of our borrowers and collateral assets. We increased our CECL loan loss reserve by $0.07 per share this quarter and $0.13 year-to-date, which amount does not include any specific loan reserves. But rather is reflective of uncertainty in the broader economy and the related potential impact on our loan portfolio over time as required by the CECL accounting rules. While our CECL reserve does not impact distributable earnings, it does reduce our GAAP net income and book value per share. Notwithstanding this impact, our book value was still up slightly this quarter to $27.20 as our earnings more than covered our dividend, adding $0.10 to book value. Importantly, excess earnings will grow book value, benefiting our stockholders and offsetting the impact of higher reserves. In addition, in a period when the pound declined by 17% and the euro declined by 14%, we saw virtually no impact on our book value as our local currency financing to programmatic foreign currency hedging offset the asset level currency volatility. Although, transaction volume was muted this quarter as new lending activity declined generally across the market, we did close $438 million of new loans at lower than average LTVs and above average spreads. Consistent with our focus on balance sheet and liquidity management, we obtained committed financing for substantially all of the $697 million we funded under new and existing loans this quarter. This is evidence that although, we have seen banks pull back amid the choppy market conditions we remain a favorite client with our track record of strong consistent performance in our portfolio of high-quality, low-leverage assets. Importantly, we have maintained and, in many cases, strengthened the resiliency of our credit facilities to market downturns. Looking at our total financings outstanding, 64% is either structurally immune from any market provision mark-to-market provisions or is limited to margin calls on defaulted assets only, with no capital markets margin call provisions on any of our finances. With the strong credit performance of our loan portfolio and the stability of our capital structure, we will receive zero margin calls in the history of BXMT, including during the challenging market conditions experienced at the peak of the pandemic in 2020. We maintain a term-matched asset-level financing structure and have no material corporate debt maturities until 2026, giving us a very stable platform from which to manage our business through more volatile market conditions. Further, we increased liquidity to a record $1.7 billion and nearly 60% increase from this time last year, giving us capital to deploy opportunistically or reserve to defend our assets should market conditions worsen. In closing, we are pleased to report another quarter of earnings growth driven by rising rates, with the prospects for further growth as this trend continues. We've also considered potential downside scenarios should further rate increases or other market factors lead to any non-performance in our portfolio. Although, there is a broad range of potential outcomes given the current market conditions, we believe our superior credit selection and fortified balance sheet indoor, and our strong earnings will continue to provide clear support for our book value and quarterly dividend. In periods of high inflation, we believe that the value generated for investors by dividend income becomes increasingly important, and we look forward to continuing our track record of a reliable and attractive dividend through varying market conditions. With that, I'll ask the operator to open the call to questions.
Operator: Thank you. Allow me to inform our audience. [Operator Instructions] Thank you. And with that, our first question comes from Don Fandetti from Wells Fargo.
Don Fandetti: Hi, good morning. Katie, the four office loans that moved to four rating, I believe. Can you talk a little bit about the quality of the sponsor? And do they have -- is their view that there's enough equity in the properties? Because I think that's one of the risks in this environment as the values have gone down. So I think you could see property owners more likely to walk away from an asset?
Katie Keenan: Sure. Thanks, Don. So we downgraded four loans to four this quarter, just 3% of the portfolio and determine the downgrades were warranted, I think given the unique headwinds each of the asset faces, in some cases, locations in more challenged markets or submarkets like DC or Chicago, as well as looking at the specific circumstances. I think it is important to note, as I mentioned on the call, all of the assets have had recent sponsored cash commitments from very material and so these really are assets that do not underperformance, but where fosters are still investing capital and where we don't expect -- we're not looking at impairments that would be a five rating. I think it's also worth noting, we have eight four-rated loans since COVID and all has been performing consistently for a two-year period. One actually repaid this quarter. So when we look at our four rated loans, we're looking at an increased risk of underperformance. We're looking at our underwriting, what we're seeing in the market. But we do still have committed sponsors in most cases, and we're working towards either repayments or sales to get these assets moving on.
Don Fandetti: Okay. And then my follow-up is just on net portfolio growth. Is this sort of an environment where it's all about defense. There's not going to be much growth, or do you still plan on growing the portfolio?
Katie Keenan: I think as we look at the investment environment today, there's a lot of really interesting opportunities. But really, we're in a very fortunate position of having a well-invested portfolio that's creating tremendous earnings power and delivering very strong current income. So we're going to have a very high bar for new investments. We obviously are looking at them. But I think that we should expect a strong well-invested portfolio going forward, but more consistency. And consistency between originations and repayments to keep that earnings power very stable.
Don Fandetti: Thank you.
Operator: Our second question comes from Doug Harter from Credit Suisse. Doug, please go ahead.
Doug Harter: Thanks. Then talking about office, can you talk about your willingness or your appetite to look at new office loans and whether you would -- you find any new opportunities attractive?
Katie Keenan: Sure. I think it's going to start from our overall perspective on the market today, which, as I mentioned, is definitely a high bar and thinking a lot about underwriting debt service type range near, medium, long-term and uses for our capital in more interesting ways, i.e., legacy loan acquisitions, helping the banks reduce some of their exposures those types of unique opportunities that we think can generate really outsized risk return profiles. In the office market, generally, I think we've been very consistent in that we really see a very strong bifurcation in the market. So new builds well positioned in markets with dynamic current demand, pre-leasing things like that. We would certainly look at opportunities like that. And we really see that as a different part of the market than the segment that uses the most challenges.
Doug Harter: And then just to follow up on your comment about legacy loan acquisitions. I guess just how do you kind of get comfortable with someone else's underwriting and just kind of the quality of loans versus something that you've underwritten from the start?
Katie Keenan: Sure. I think this is where the Blackstone platform really shines. I mean, we have incredibly detailed and up to the minute real-time information on what's going on in market. We have a great origination team. This business was really born in a period, whether there were a lot of loan portfolio acquisitions, the GE portfolio acquisition was really formative for the BXMT business generally. And we have, I think, a great capacity to put a plot team of really talented people to sort of crawl all over loan portfolios and get a sense of how we view the underwriting in today's environment and really look at the structure of the documentation and all of that. I think, it's something we've done successfully over time, and we're really well positioned today, both from a team and platform information perspective, as well as our relationships with potential counterparties that might be looking for liquidity.
Doug Harter: Great. Thank you.
Operator: Our next question comes from Steve DeLaney from JMP Securities. Steve?
Steve DeLaney: Good morning, everyone. Good morning. Thanks for the question and congrats on a nice quarter and a very volatile market. Katie, I'd like to ask about repayments. Obviously, things have slowed down, but it works out -- the $40-some million worked out to about 7% annualized on the portfolio. How should we think about that going forward? Normally, we would think a bridge loan portfolio would be what, 20%, 30% a year in terms of runoff. So just your repay outlook. Thanks.
Katie Keenan: Yes, absolutely. I mean, I think that, with the way the transaction market is today and looking at all of the factors, we definitely expect overall transaction volumes to come down and that's on the origination side and on the repayment side. With the transaction market cooling, some of the deals that would ordinarily have retained are sticking around longer. In a lot of cases, that's because patient sponsors are doing their sort of hold versus sell analysis and they just like to hold size better. I think you can see that in our risk ratings. We have more ones and twos today as a percentage than is typical. And in other cases, we're going to have situations where people need a little bit more time to execute their business plans. And because of the way we structure our loans, that's really a great opportunity for us to get more equity in the door, to support the business plans, reduce our loan, et cetera. And so, I think, over time, we'll see a little more spaces in portfolio. But most importantly, as we talked about earlier, the earnings power is really dictated by the investment level, the deployment of the portfolio. And so, a more stable portfolio is positive from an earnings perspective.
Steve DeLaney: For sure. And those extensions that you have, in addition to getting more cash in from the borrower, do you have a repricing opportunity at that time as well in some cases?
Katie Keenan: Yes, we do, potentially. And I think that, we really look at all of those conversations as new investment decisions where we think very carefully about the balance of pricing, term, structure, new equity coming in and really differing to bear what I think is a very sophisticated asset management approach and new information to underwriting to make sure that we're creating the most value that we can for our shareholders.
Steve DeLaney: Great. Thank you for the comments.
Operator: The following question comes from Eric Hagan from BTIG. Eric, please go ahead.
Mike Nash: Eric, good morning.
Eric Hagan: Hey, good morning. I’m sorry about that. Can you guys talk about the sensitivity of cap rates in the portfolio to rising interest rates and how you see that developing, especially at the short end of the curve and the sensitivity that you see there? Thank you.
Katie Keenan: Sure. So, I think, when we think about the rate sensitivity at the short end of the curve, we really look at debt service coverage and the performance of our portfolio. As I mentioned in the remarks, 96% of our loans have either interest rate caps or other very meaningful structural enhancements like carry guarantees. So I think as far as the short end not going to have a material impact on our borrowers' ability to pay, because there really is a lot of structural enhancement already built into the loan As we think about cap rates over time, I think it really depends on a number of factors. Obviously, cap rates are related to interest rates. They are also related to growth in the portfolio, growth in NOI. And we're seeing continued NOI growth in the asset sectors that we've been focused on. Inflation protected sectors like multi-family, hospitality, industrial, things with short duration leases, even very high-quality office is seeing very strong rent growth. And so looking at cap rates in the context of growing NOI, obviously, values will be impacted more so about cap rates going up than if we just had NOI growth, but there's a balance between NOI growth and cap rates, and that's what we really use when we look at the long-term values of our assets, think about the risk in the portfolio, think about new originations.
Eric Hagan: Very helpful. Thank you very much.
Operator: Our next question comes from Jade Rahmani from KBW. Jade, please proceed.
Jade Rahmani: Thank you very much for taking the questions. The upcoming portfolio loan maturities. Can you speak to that? What you have expected for the fourth quarter in 2023? And how much of that is office? Does it resemble the overall portfolio mix, or is there any weighting toward office?
Katie Keenan: Sure. So I think worth noting when you look at the upcoming loan maturities, they're really pretty minimal. It's about 7% of the portfolio over through the end of 2023. So as we've talked about in past years, most of our loans, we kind of addressed them well ahead whether it's because borrowers are executing their business plans and moving on, or we think about other ways to have borrowers recommit to their assets. So we don't see upcoming maturities as sort of a very heavy schedule. I would say as far as the specific, there's a lot of loans that already have plans in place for refi or sale. And on the other, I would refer back to the remarks I made a bit earlier as far as the approach we take with borrowers. In general, we really are willing to reward rotation borrowers. We're interested in putting more capital in the deals, and that's what we see by and large.
Jade Rahmani: Thank you very much. There was a trade piece noting BXMT made a construction loan $670 million on looks like a Class A potential development in downtown Austin. Can you confirm that, that's the case? And would that be a fourth quarter origination, given its construction, I wouldn't assume there's a large amount of upfront funding there.
Katie Keenan: Yes. That was actually a second quarter origination. I think the trade picked it up a little later on versus the origination. But we love that project. That is really going to be a best-in-class asset. And I think it really speaks to our broader focus on flight to quality. We think that the best assets well located are going to outperform, whether it's an office or multifamily or hotel that project is a mixed-use project. So, for a low leverage construction loan with one of the best sponsors in our portfolio. So overall, looking at those types of opportunities where we see opportunities to lend at a low leverage level on the newest best quality in the market, we like to see those. But again, that was the second quarter deal. And I think we talked about it a bit on the second quarter call for more detail.
Jade Rahmani: Thank you.
Operator: Our final question comes from Stephen Laws from Raymond James. Stephen, please go ahead. 
Stephen Laws: Hi. Good morning. Katie, I'd like to start first with maybe how conversations with counterparties, particularly around the fibre loan didn't change. So maybe the four-rated bucket, when we see four loans with rating changes, that's an internal metric. How are your current conversations going with your counterparties around credit marks? How are they looking at watch-list type assets, specifically around office, kind of any discussions with what you're seeing with -- in those discussions?
Katie Keenan: Yeah. I think we maintained a really open and active dialogue with all of our lenders. And they're very involved and as to be on everything that's going on in the portfolio in real time. I think in general, when you look at our lenders, we have great long-term relationship shift with them. They trust us to manage the portfolio in the best possible way. They’ve really well-performing portfolios. And of course, they look at our overall business, and we have more income and more liquidity than we've really ever had, and that gives them a strong degree of confidence in us as a borrower and a counterparty. So, really have not seen any material change in terms of our dialogue with our lenders.
Stephen Laws: Thanks, Katie. And then as a follow-up, appreciate the disclosure and commentary around rate caps and structural protection effectively an old portfolio. But, can you talk a little bit more details there? Where is the weighted average of those rate caps? Your rate caps, how much are in the money, new originations? Where are you putting those in? And is it a different level than where those were going into loans as a spread basis a year or two ago. Any additional color you can provide on the details.
Katie Keenan: Sure. So starting with new originations, we have always adhered to a policy rate cap on our loans. We're very focused on making sure that we involve us sort of up to the minute structure on the loans that we originate, and that's really been a consistent touchstone of our origination approach over the years and obviously, the same today. I think the rate caps we have in the portfolio. We are seeing more and more of them in the money. They obviously -- they come in at different levels. But I think the credit performance and the interest collection we've seen in the portfolio is indication of the fact that our structures are working. And we continue to have the rate patrol. When loan come upon maturity or the interim maturity, borrowers need to buy new rate caps, and we're seeing that and we're seeing other equity come in more interest reserves, more structural protection. So I think that, that part of the structure is sort of a key difference in terms of how lenders to weather an environment like this and something that we've been very focused on in our portfolio.
Stephen Laws: Great. Thanks for the comments this morning. Take care.
End of Q&A:
Operator: Thank you. And now, I'm going to hand it back to Weston Tucker for closing remarks.
Weston Tucker: Thanks, everyone, for joining us today and look forward to following up after the call. Thank you.
Operator: Thank you for joining everyone. That concludes your conference. You may now disconnect. Please enjoy the rest of your day. Goodbye.